Operator: Good morning, ladies and gentlemen. Welcome to the Gentex Corporation 2008 First Quarter Earnings Conference Call. I would now like to turn the meeting over to Ms. Connie Hamblin, Vice President of Investor Relations and Corporate Communication. Please go ahead Ms. Hamblin.
Connie Hamblin - Vice President of Investor Relations and Corporate Communications: Thank you. Good morning everyone this is Connie Hamblin, with me on the call today is Enoch Jen, our Senior Vice President and Steve Dykman, our Chief Financial Officer. This call is being recorded by Gentex and its been broadcast live on the Internet on our website at www.gentex.com and there is also an auto playback there. Before I proceed with reading through our Safe Harbor statement and other comments. I want to take this opportunity to remind everyone that Gentex has a prior period every quarter that incompetence the last 10 business days of the quarter and last through the date of our quarterly earnings release and conference call. We have recently received a number of phone calls asking for additional information that the caller believes there is outside of scope of additional quarterly or forward-looking guidance but the majority of the calls and questions such as update on Rear Camera Display volumes further clarifications on specific products or contracts etcetera. Our items that we believe do fall within a scope of incremental non-public information. Therefore we are not and will not be willing to discuss to take calls on items like this in the future. This prior-period policy was put in place a number of years ago to ensure proper, timely and fair disclosure of incremental information and make it available to everyone at the same time. We do appreciate your understanding and adherence to this policy. This call is being recorded by Gentex Corporation, all content of Gentex Corporation's conference calls are the property of Gentex, no such content maybe copied, published, reproduced, rebroadcast, retransmitted or otherwise redistributed without the express written consent of Gentex Corporation. Gentex alone holds such rights, while we understand that there maybe companies that transcribe and redistribute our conference calls, notwithstanding this warning Gentex Corporation provides no authorization to do so and expressly disclaims any responsibility for any unauthorized used of the content. We advice that you should not rely on the content of any unauthorized transcript as Gentex Corporation will not be held liable for the content of any such transcript. Gentex Corporation will hold responsible and liable any parties for any damages incurred by Gentex with respect to any such unauthorized use. Your participation implies consent to our taping and to the foregoing term. Please drop off the line if you do not agree to these terms. Our Safe Harbor statement; the following presentation may include forward-looking statements that are based on management's belief, assumptions, current expectations, estimates and projections about top line growth in the global automotive industry, the economy, the impact of stock option expenses on earnings, the ability to leverage fixed manufacturing overhead costs, unit shipment growth rates and the Company itself. Words like anticipate, believe, confidence, estimates, expect, forecast, likely, plans, project, and should and variations of such words and similar expressions identify forward-looking statement. These statements do not guarantee future performance and involve certain risks and uncertainties and assumptions that are difficult to predict with regard to timing, expense, likelihood and degree of occurrence and actual results may differ maturely from those in the forward-looking statements. The company undertakes no obligation to update, amend or clarify forward-looking statements whether as a result of new information, future events or otherwise. We urge you to review the following Safe Harbor statement that is contained in the news release that is posted on our website. At this point I will turn the call over to Enoch Jen and then after Enoch makes his remarks with respect to the quarter, the call will be opened up for Q&A. We do, as always ask that you ask one question at a time, so that other individuals have an opportunity to participate and we do appreciate your cooperation. Thank you.
Enoch Jen - Senior Vice President: Good morning. Thank you for taking the time to join us for this conference call. Despite a challenging environment we are pleased to report strong operating results for the first quarter. For the first quarter, we reported record revenues of $178 million, a 13% increase over the $157.2 million reported in the first quarter of 2007. Our operating income for the first quarter was $40 million, an 18% increase, over the $33.9 million reported in the first quarter of 2007. We also reported record first quarter net income of $30.4 million, a 3% increase, over the $29.5 million reported in the first quarter of 2007. Our diluted earnings per share for the first quarter was $0.21, which was the same as what was reported in the first quarter of 2007. Looking at automotive revenues and auto-dimming mirror unit shipments, our automotive revenues increased by 14%, from a $151.1 million in the first quarter of 2007, to $172.1 million in the first quarter of 2008. The UAW strike negatively impacted first quarter automotive revenues by approximately $2.5 million. Total auto-dimming mirror unit shipments increased by about 10% in the first quarter of 2008, compared with the first quarter last year. Auto-dimming mirror unit shipments in North America increased by 2% in the first quarter of 2008, compared with the same period in 2007. Despite the UAW strike that it shutdown many GM plants for a number of week. The increase in unit shipments in North America, during the first quarter was primarily due to increased interior auto-dimming mirror unit shipments for certain Asian transplant automakers. North American light vehicle production decreased by 8% in the first quarter of 2008, compared with same prior year period. GMT 900 light vehicle productions was down 32% in the first quarter of 2008, compared to the same period in 2007. Auto-dimming mirror unit shipments to offshore customers increased by 17% in the first quarter of 2008, compared with the same period last year. The increase in unit shipments was primarily due to higher penetration of interior and exterior auto-dimming mirrors at certain European and Asian customers. Light vehicle production in Europe increased by 1.5% in the first quarter and increased by 6% in Japan and Korea in the first quarter of 2008, compared with the same period last year. Looking next at the average selling price. The average selling price for auto-dimming mirror was $40.94 in the first quarter of 2008. The ASP decrease from $42.47 in the fourth quarter of 2007, $240.94 in the first quarter of 2008, primarily due to product mix and annual customer price reduction. Based on our current forecasts, we would expect the ASP in the second quarter and for calendar year 2008 to be in the range of $41 to $42 depending upon product mix. The ASP increased on a year-over-year basis from the first quarter of 2007 when it was $40 to the $40.94 in the first quarter of 2008, primarily due to the higher contented interior mirrors partially offset by annual customer price reduction. First quarter of 2008 and calendar year 2008, ASPs exclude non-auto-dimming mirrors and microphone units. This is how we will be reporting ASPs going forward. Fire protection revenues decreased by 3% to $5.9 million dollars for the first quarter of 2008, compared with the same period last year. Looking at our gross profit margin, the gross profit margin of 35.2% in the first quarter of 2008 was higher than the fourth quarter of 2007 gross margin of 34.2%, primarily due to purchasing cost reduction, product mix and foreign exchange rate partially offset by annual customer price reduction. We expect our gross margin in the second quarter in calendar year 2008 to be in the range of a margin of 35.2% reported in the first quarter of 2008 depending upon top line growth, purchasing cost reductions, the depth and duration of the UAW strike and the offsets provided by the shipments of our new featured mirror products as well as shipments to automakers based outside North America. The gross profit margin will continue to be impacted by annual customer price reductions, uncertain automotive industry production levels, our ability to leverage our fixed overhead cost, purchasing cost reductions and VAVE initiatives and manufacturing yields. Looking next at engineering, research and development expense. ERV expense increased by 4% in the first quarter of 2008, compared with the same 2007 period. The increased expense was primarily due to additional staffing in engineering for new product development in new vehicle programs, such as RCD and SmartBeam partially offset by decreased patent litigation expenses. Expense related to the Muth litigation was $104,000 in the first quarter of 2008, compared to $1.4 million in the first quarter of 2007. Excluding the Muth litigation expense and the litigation judgment accrual reversal of $335,000 in the quarter, ER&D expense would have increased by approximately 19% in the first quarter of 2008, compared with the same prior year period. Expense related to the Muth litigation was in connection with losses between the company and K.W. Muth and Muth Mirror Systems, LLC collectively referred to as Muth. Related to exterior mirrors with turn signal indicator. The litigation did not evolve core Gentex electrochromic technology and was settled on February 15th, 2008. In the settlement and release agreement and covenants not to sue, the parties agreed to several report [ph] judgment against Gentex for damages related to breach of contract at a reduced amount of $2,550,000, compared with the original $2,885,000 judgment originally entered by the court. In addition, under the agreement, the parties agreed to grant the other party a 10-year covenant not to sue for each company's core business to release each other from all claims that occurred in the past, and to not appeal the courts ruling. The $335,000 adjustment to the original judgment amount for damages is reflected in the company's financial result for the first quarter of 2008. The R&D expense is currently expected to increase by approximately 5% to 10% from the second quarter and calendar year 2008. Excluding the Muth litigation expense, the R&D expense is expected to increase by 15% to 20%. Selling, general and administrative expense increased by 19% in the first quarter of 2008, compared with the same prior year period. The increase was primarily due to the continued expansion of the company's overseas sales offices as well as foreign exchange rate. We now believe that SG&A expense will increase in the second quarter and calendar year 2008 by approximately 15% to 20%. This increase is primarily due to continued expansion of our overseas offices and foreign exchange rate. Looking next at other income, total other income decreased by 43% in the first quarter of 2008, compared with the same prior period, primarily due to lower realized gains on the sale of equity investment. The breakdown of total other income from the first quarter 2008 is as follows, investment income $4,050,000, other net $1,415,000. In light of the current stock market environment, we currently expect realized gains on the sale of equity investments for the balance of the year to be similar to the first quarter of 2008. A few balance sheet item, as of March 31, 2008, accounts receivable were $59.9 million, inventories were $47 million, patents and other assets were $8.7 million, accounts payable were $34.4 million and accrued liabilities were $53.2 million. Our tax rate was 33% in the first quarter of 2008, as compared with the statutory rate of 35%, primarily due to the domestic manufacturing deduction, tax benefits pertaining to stock option expense can significantly vary from quarter-to-quarter and year-to-year due to incentive stock option disqualifying disposition activity. The tax benefit pertaining the stock option expense was 38% in the first quarter of 2008, compared with 54% in the first quarter of 2007. Excluding stock option expensing we currently expect that the tax rate for 2008 will be approximately 33.25% based on current tax laws. Our cash flow for operations, for the quarter ending March 31, 2008 was $55.7 million. Our capital expenditures in the first quarter of 2008 was $14.1 million. Our depreciation expense for the first quarter of 2008 was $8.7 million. For calendar year 2008, our estimate for capital expenditures is approximately $45 million to $50 million. Our depreciation and amortization expense for 2008 is estimated at $34 million to $37 million. And update and our share repurchase plan, during the first quarter of 2008, the company repurchased 2.2 million shares at a cost of approximately $34.6 million. The company has a share repurchase plan in place with authorization to repurchase up to 28 million shares of company stock. To-date, including the prior share repurchases, the company has repurchased approximately 20.2 million shares leaving approximately 7.8 million shares authorized to be repurchased under the plan. Cash dividends on April 18, 2008, the company paid a quarterly cash dividend of $10.50 per share. The shareholders of record of the common stock at the close of business on April 7. The ex-dividend date was April 3. Looking next at an update on SmartBeam, we continue to be pleased with the progress we're making and the market acceptance for SmartBeam. The high-beam headlamp assist system product that we introduced in the 2005 model year. We currently are shipping SmartBeam for 15, 2008 vehicle programs. During 2008, we expect to announce and start shipping SmartBeam mirrors to the second and third European customers, and our first Asian customer. There are a number of follow on programs for existing in new customers scheduled for the 2009 model year. Based on our existing forecast, volumes and incremental sales dollars to SmartBeam will become more meaningful in the 2009 calendar year. From 2007 calendar year, we shipped approximately 305,000 SmartBeam units. Option rates have remained strong at 25% to 30% on average. For the 2008 calendar year, we currently expect to ship approximately 350 to 400,000 SmartBeam units. Next an update on our rear camera display or RCD. In late 2006, we announced that we have developed a new product called the rear camera display or RCD Mirror. The product currently is offered as original equipment on the Ford F-150 and Expedition, and the Lincoln Navigator and Mark Lt as well as under Kia Mohave and Hyundai Grandeur for the domestic Korean market. We have found that there is significant interest in this feature for vehicles in the domestic Korean market, despite the fact that there is no rear backup legislation there. We've previously had announced that the RCD Mirror is available as port- or dealer-installed option on the NHTSA. The company also previously announced that the RCD Mirror is available as the dealer of port-installed option on the Toyota Camry in the Gulf States Toyota. We continue to work with a number of other customers on original equipment development programs for this product. This is not a long lead time product upon receiving a production order from a customer; we could be in volume production for other programs within 9 to 12 months. The company shift approximately 55,000 RCD mirrors in calendar year 2007, and we now estimate that we will shift between 350,000 and 400,000 units in calendar year 2008. Approximately 100,000 units more than our previous forecast due to increased estimated take rates. Based on this updated forecast, the company continues to believe that RCD Mirror shipments will more than double in calendar year 2009, compared with calendar year 2008. The automaker is currently offering a rear camera display product or doing this prior to any legislation and made their decisions before any was pending. As most of you have likely heard, the legislation called the Kids Transportation Safety Act of 2007 was signed into law by President Bush on February 28th, 2008. The Bill orders the Secretary of Transportation at the National Highway Traffic Safety Administration and his staff to initiate rule making to revise the Federal standards to expand the field of view so that drivers can detect objects directly behind vehicles. The requirements may be met by the use of additional mirrors, sensors, cameras or other technology to increase the driver's field of view, which is the decision that NHTSA needs to make. NHTSA has done some independent studies already and appears to be leaning towards camera-based systems. With respect to timing, our understanding is that the clock started ticking on February 28th, 2008, and NHTSA has 12 months to initiate rule making, 36 months to publish final standards, and then automakers will need to become fully compliant with the final standards within 48 months. So general automakers will have approximately seven years to comply with the rules that NHTSA initiates. However, we expect early adoption by many automakers, and we are already seeing that with Ford and Hyundai, Kia for the U.S. and Korean markets. An update on microphone units, at our customer's requests we are shifting Gentex's proprietary microphone units, they are being incorporated into prismatic interior mirrors. At this time, we do not expect these revenues to be significant in 2008. However, the State of California recently enacted legislation making hands-free cellphone use while driving mandatory as of July 1, 2008. This new legislation should accelerate the use of microphones with voice recognition capabilities in vehicles and to provide upward pressure on the sale of those units for auto-dimming and prismatic interior mirrors, since automakers are unlikely to build vehicles specifically for California and New York. At this time, we do not expect to provide guidance on unit shipments, incremental sales dollars or average selling prices on microphone. Next an update on the Boeing 787 Dreamliner dimmable window program. We began shipping parts; we are the first touch planes for the Boeing 787 Dreamliner series of aircraft at mid-year 2007. Boeing has now announced three delays for the final deliveries of aircraft to customers. The latest information is that the first planes will go into service in late 2009. Boeing has yet to inform suppliers as to what type of further delays to expect and we anticipate that we will hear something from them in the next few months. However Boeing has stated publicly that it is studying ways to increase production rate to avoid late delivery penalties and we currently believe that suppliers will still ship some products in calendar year 2008. However, we do not expect revenues from this program to be significant in calendar year 2008. Other aircraft manufacturers have expressed interest in this technology and we continue to work on those potential programs with PPG Aerospace. Next looking at top line growth estimates, the following projections for top line growth are based on CSM's preliminary in mid-April light vehicle production forecast. Our estimates for top line growth for the second quarter 2008 is approximately 10%, compared with the same period in 2007. Based on the current forecast or product mix, light vehicle production levels and take rates. The duration and depth of the UAW another potential strike continue to be the wildcard in forecasting for the second quarter and the remainder of calendar year 2008. Our estimate for top line growth for calendar year 2008 is approximately 10%, compared with calendar year 2007 based on the current forecast for product mix, light vehicle production levels and take rates. The CSM light vehicle production forecast for the second quarter of 2008 is as follows, 3.9 million units for North America, which is a 5% decrease compared to the second quarter of 2007, 5.9 million vehicle units for Europe, which is a 5% increase compared to the second quarter of 2007, and 3.6 million units for Japan and Korea, which is a 1% increase compared to second quarter of 2007. Our CSM light vehicle production forecast for calendar year 2008 is as follows: 14.3 million vehicles for North America, a 5% decrease over 2007, 22.4 million vehicles for Europe, a 3% increase compared to the prior year and 15 million vehicle units for Japan and Korea, a 1% increase over the prior year. At this time, I will turn the conference call back over to Connie.
Connie Hamblin - Vice President of Investor Relations and Corporate Communications: Just as a quick reminder, all listeners should note that this call is being recorded by Gentex Corporation archived into Gentex Corporations conference call. This is a property of Gentex. No such content may be copied, published, reproduced, rebroadcast, retranslated or other wise redistributed without the express written concern of Gentex Corporation. Gentex alone holds that right, while we understand that there may be companies that transcribe and redistribute our conference calls, notwithstanding this warning, Gentex Corporation provides no authorization to do so and expressly disclaims any responsibility for any unauthorized use of the content. We advice that you should not rely on the content of any unauthorized transcript as Gentex Corporation will not be held liable for the content of any such transcript. Gentex Corporation will hold responsible and liable any parties for any damages incurred by Gentex Corporation with respect to any such unauthorize use. Your participation implies consent to our taping and to the foregoing terms. Please step offline if you do not agree to these terms. Right now, I guess that we will turn it over to the Q&A, back to the operator and then following that we will answer your questions. Question And Answer
Operator: Thank you Ms. Hamblin. [Operator Instructions]. The first question is from John Murphy of Merrill Lynch. Please go ahead
John Murphy - Merrill Lynch: Good morning, everybody
Enoch Jen - Senior Vice President:
Hey John:
John Murphy - Merrill Lynch: It's on the striking impact, you kind of talked about $2.5 million of lost revenue as a result of the strike, and GM is talking about 100,000 units of lost GMT900 production and that would equate to $25 in content per trucking crew that's way too low for the GMT900 for you. Just wondering if there might have been a delay, any decline in shipments or... the shipment to GM for those trucks or if the impact might be slightly greater in the second quarter?
Enoch Jen - Senior Vice President: Well, I think John, one, we are not standard on the GMT900, second, I think you are correct that there is probably was some slight delay in production and plant shut down as they ran with the inventory they had on hand. From our prospective the $2.5 million represented reduce shipments or eliminate [ph] the shipments beginning on the last week in February. So, depending on the duration and depth of the UAW strike at American Axle, as well as some of the pending or threatened UAW strikes at the local GM plants, we expect that the impact on the second quarter will be greater.
John Murphy - Merrill Lynch: And if we just think about the contribution margin on that loss revenue, clearly was very low in the first quarter because there was... that demand was intact. What should we think about their contribution margin being going forward if we get a big hit from volume here?
Enoch Jen - Senior Vice President: I think what we've said previously John is that if our fully year's gross margin is approximately 35%, that our incremental or variable margin on average for our auto-dimming mirrors is approximately 10% points higher.
John Murphy - Merrill Lynch: Okay and then just one second question on ForEx, you were in a very unique position in producing almost everything, all your mirror's here and shipping overseas. I just wondering how big the benefit that was in the first quarter on much of the revenue lines on the net line and if that's something you're looking at potentially changing or even leveraging further going forward?
Enoch Jen - Senior Vice President: With our FX impact in the first quarter on the revenue side of things that was between 1% and 2% point. The gross margin impact is somewhat lower due to the fact that there is certain material purchases that we have in Euros and on the selling general and administrative expense line of that 19% year-over-year increase above 4% points of that increase pertained to foreign exchange rate.
Enoch Jen - Senior Vice President: And I just have... can you just remind us as what going to be in your investment portfolio.
Enoch Jen - Senior Vice President: Within the long term investments, it primarily equity investments, those funds are invested with over 15 managers of varying styles.
John Murphy - Merrill Lynch: Great, thank you very much.
Operator: Thank you, the next question is from Rich Kwas of Wachovia, please go ahead.
Richard Kwas - Wachovia Capital Markets: Hi, good morning.
Enoch Jen - Senior Vice President:
Morning, Rich:
Richard Kwas - Wachovia Capital Markets: Enoch or Steve on the increase in gross margins, you just talked about our FX benefit, when you look at product mix and purchasing cost reduction, how would you bucket that out?
Enoch Jen - Senior Vice President: If you look at the three positive factors that occurred that helped the margin improvement in the first quarter, each of those factors were pretty equal contributors to the margin.
Richard Kwas - Wachovia Capital Markets: Okay, and then as you look forward for the rest of the year, do you expect that the benefits from each of those are going to materially in terms of the contribution potentially or is there one that could be waited a little bit more or how you think you have got that?
Enoch Jen - Senior Vice President: Yes, I think that the potential for the purchasing cost reduction there could be the number one item for improvement and as we said in the last conference call that we felt on a year-over-year basis for calendar year 2008, that we could improve the margins 25 to 50 basis points over the 2007 calendar year.
Richard Kwas - Wachovia Capital Markets: Okay, and then finally for revenue here as you are looking out, 10% guidance, but you had a nice pump up here in first quarter above expectation, with mix seemingly getting better, shipments... even with the strikes going on shipments are seen to be stable for most the part and growing with your overseas business. It seems a little conservative to me, but is there anything else to read into that?
Enoch Jen - Senior Vice President: Well, I think when we look at the first quarter; our North American shipments were below expectations, primarily due to the impact of the UAW strike on the GM plants. However there was a much stronger axle shipments into Europe and specifically Germany than what we had forecasted at the beginning of the quarter. But I think going into the second quarter and the balance of the year, we're in the same position that we were at the beginning of this year, which is cautiously optimistic. I think if those of you who follow the European sales, those sales levels did overall drop off in the month of March. So I think as well as North America there is some question as to the impact of some of the financial crises upon the overseas markets also.
Richard Kwas - Wachovia Capital Markets: But you are benchmarking your forecast against the CSM's forecast for the year, right?
Enoch Jen - Senior Vice President: That is correct, yes.
Richard Kwas - Wachovia Capital Markets: Okay, thank you.
Enoch Jen - Senior Vice President: Thanks.
Operator: Thank you. The next question is from Brett Hoselton from KeyBanc Capital. Please go ahead.
Brett Hoselton - KeyBanc Capital Markets: Good morning.
Enoch Jen - Senior Vice President: Good morning, Brett.
Brett Hoselton - KeyBanc Capital Markets: Just a reiteration of Richard's question. I mean if you have got better than expected performance in the first quarter, second quarter's around 10% expectation and when we look at CSM, we see generally improving expectations production wise moving into the back half of the year. That kind of suggests that these type are conservatism built in to your forecast for the back half of the year and that's what I hear you saying, am I hearing that correctly?
Enoch Jen - Senior Vice President: Yes, I think that's fairly accurate that there just is a lot of uncertainty, suddenly in the second quarter CSM does not have a lengthy, a continued extended UAW strike impact in their forecast. And so that makes us more cautious there and like we said in response to Richard's question, there is a lot of uncertainty not only in North America but also overseas when we look out towards the second half of the year.
Brett Hoselton - KeyBanc Capital Markets: And as you look at your forecast for RCD mirrors in 2008, then in 2009 obviously a pretty hefty increase in 2008, I understand, based on increased penetration rates, but as you look at 2009 you are still looking at the potential for a double. What is the driver in 2009 is it just a continuation of higher penetration rates or is there some incremental customers there as well?
Connie Hamblin - Vice President of Investor Relations and Corporate Communications: I think it's a combination of both and the 100,000 units, the incremental 100,000 units basically is increased rates in our forecast estimated take rates in our forecast on business that you've don't even know about yet. That we have not been able to announce.
Brett Hoselton - KeyBanc Capital Markets: And some of the new customers that you talked about here today will come. As you think about the order of magnitude in terms of maybe the number of customers that you're working with, can you kind of characterize for us, what kind of order of magnitude, I mean obviously your working with three customers right now, Ford, Hyundai, Kia and then also Toyota on a per install basis, but in terms of order of magnitude what can we look at going forward.
Enoch Jen - Senior Vice President: Well, I think in these... when we initially announced RCD mirrors, we have talked about three OEMs that we are working with and then at that time the three OEMs, there was obviously some speculation that Toyota was one of those three because they had demonstrated the feature on one of their vehicles at the consumer show, Hyundai Kia was actually not one of those three and then Ford announcement... clearly Ford was the second. So I think its safe to say that we still have the third OEM that we have not yet announced, like Connie indicated and we have a significant amount of interest from other auto makers also.
Brett Hoselton - KeyBanc Capital Markets: Okay, Enoch, thank you very much.
Enoch Jen - Senior Vice President: Thanks
Enoch Jen - Senior Vice President:
Welcome:
Operator: Thank you. The next question is from Alexander Paris from Barrington Research. Please go ahead
Alexander Paris, Sr. - Barrington Research: Talking about the new product tiers [ph] SmartBeam and RCD, those are all... they're not part of option packages; they are standalone packages, correct?
Connie Hamblin - Vice President of Investor Relations and Corporate Communications: SmartBeam is packaged typically with like, Xenon but the RCD is the standalone for the most part.
Enoch Jen - Senior Vice President: Initially for four months.
Connie Hamblin - Vice President of Investor Relations and Corporate Communications: Initially, yes.
Enoch Jen - Senior Vice President: But we expect future RCD programs will more likely be included in packages
Alexander Paris, Sr. - Barrington Research: So your assumptions that you have their real value assumptions, is that assuming that they will be in option packages, or will that be a net plus, if that is going in packages?
Enoch Jen - Senior Vice President: No, it largely is based on the expectation that most of them of them would be in packages with the exception of the Ford programs.
Alexander Paris, Sr. - Barrington Research: Okay, thanks a lot
Enoch Jen - Senior Vice President: Thank you.
Operator: Thank you. The next question is from Mark Johnson conference from Principal Global Investment. Please go ahead.
Mark Johnson - Principal Global Investment: Thanks, good morning.
Enoch Jen - Senior Vice President: Morning Mark.
Mark Johnson - Principal Global Investment: Enoch,just a point of clarification, in your prepared comments you talked about NHTSA and you said they appear to be leaning towards a camera based system, are you, I'm just kind of interested it what's behind that statement. I mean, is that, are you inferring just based on maybe some things and opinion that NHTSA has published in the past or is there something else behind that statement, maybe real conversations your are having with customers or perhaps maybe consulting with NHTSA themselves, I'm just kind of wondering, kind of what behind that statement?
Connie Hamblin - Vice President of Investor Relations and Corporate Communications: Mark, this is Connie, obviously I do not have the documents right here in front of me but NHTSA has done some studies and they have been quoted as basically saying that they that the camera based systems appear to be the better option in terms of increasing... obviously in terms of increasing your field of view, which is what the legislation talks about is increasing the field of view.
Mark Johnson - Principal Global Investment: Right, okay.
Connie Hamblin - Vice President of Investor Relations and Corporate Communications: It seems that, I think that you have to also keep in mind that NHTSA does have some leeway in terms of their interpretation of the language and it's not certain that there going to specify a rear camera display. But it does specifically talk about field of view.
Mark Johnson - Principal Global Investment: Okay
Enoch Jen - Senior Vice President: I think at this time we expect that more likely than not NHTSA will allow several different types of technology or applications; we do feel that a camera base system will be a preferred application.
Mark Johnson - Principal Global Investment: Okay, yes, that's what I thought. And then just secondly on your comment about SmartBeam, you are going to be shipping ten to the first and second European customer and the first Asian customer. Is that in the second and third quarter of this year, did you say?
Steve Dykman - Vice President of Finance and Chief Financial Officer: It will be over the balance of this year and Connie will be making those announcements as soon as we're allowed to by the automaker.
Mark Johnson - Principal Global Investment: Okay. Thank you, very much.
Enoch Jen - Senior Vice President: Welcome.
Operator: Thank you. The next question is from Greg Halter of Great Lakes Review. Please go ahead.
Greg Halter - Great Lakes Review: Good morning.
Enoch Jen - Senior Vice President: Good morning, Greg.
Greg Halter - Great Lakes Review: Looking at your investment portfolio and this may have been asked previously, but wondering if you have any just... not a just rate [ph], but ARS securities or any of these other more funky securities that are causing problems for some companies.
Steve Dykman - Vice President of Finance and Chief Financial Officer: We do not have any auction rate securities. If you look at our investment portfolio our long term investments are primarily equity investments that are those funds are invested with the number of managers, our short term investments are primarily government securities and CDs and then our cash and cash equivalents are primarily money market account.
Greg Halter - Great Lakes Review: Okay, andone last one, on the last call you had mentioned about I think 100,000 mirror unit shipment that was cancelled or postponed, did any thing develop with that in the current quarter?
Connie Hamblin - Vice President of Investor Relations and Corporate Communications: You are talking about exterior mirrors. The exterior mirrors with, no I mean basically it was exterior mirrors with Tier 1 mirror suppliers that we think that they were basically showing up their inventories.
Greg Halter - Great Lakes Review: Okay, thank you.
Operator: Thank you. The next question is from Brett Hoselton of KeyBanc Capital. Please go ahead.
Brett Hoselton - KeyBanc Capital Markets: Hey follow on question, two questions for you, when you think about the RCD product, is that the product that you expect to sell exclusively in combination with an electrochromic mirror or is there a possibility that you might carve that out and somehow sell that separately?
Connie Hamblin - Vice President of Investor Relations and Corporate Communications: It is possible, but not real likely just because the incremental dollars for auto-dimming become far less, and it just really doesn't make much sense to put it... I mean to put a rear camera display in a non auto-dimming mirror. The two technologies are they work very well together.
Brett Hoselton - KeyBanc Capital Markets: So if you are an automaker then, and you are thinking about upgrading to a rear camera display and you have a prismatic mirror in your vehicle currently, what do you have to think about or what are you considering as you are going forward with the possibility of introducing an electrochromic mirror into your vehicle. Typically you guys have said that an electrochromic mirror is going to be somewhere in that let's say low $20 range where the prismatic mirror is like $2 or $3 or $4 or something like that. So you have this $20 difference but you also have installation costs. How are the automakers thinking about this?
Enoch Jen - Senior Vice President: Well we can't say exactly how the customers are thinking about it. What we have told them, is once you have to add wiring and electronic into a mirror that that $20 versus a $3, $17 differential, potentially could shrink the price to $10. And so our point to automakers, are one, you know we are going to certainly initially tend to add the RCD display to vehicles that already offer auto-dimming mirrors. I think, the customers will have to answer your question as we get closer to the final compliant stage for some type of rear backup assist system.
Brett Hoselton - KeyBanc Capital Markets: And then other question on RCD... not RCD but SmartBeam. As we think about application of SmartBeam in North America, Europe and Asia, is there anything significantly different between engineering or algorithms, is there anything else between the applications in each of those different regions?
Steve Dykman - Vice President of Finance and Chief Financial Officer: Yes there are some significant differences in the software algorithm because of the differences in lighting and signage and the environment in Europe and Asia compared to the United States.
Brett Hoselton - KeyBanc Capital Markets: So, do you think about your shipments to be on debut, are those shipments to be on debut simply coming back here to the United States or they are also been sold elsewhere and therefore, if they are sold elsewhere do you have some unique product or algorithms or something on those lines for those other shipments?
Steve Dykman - Vice President of Finance and Chief Financial Officer: Initially, the SmartBeam products that were shipped to be in debut were before used in Europe and other Europe centric regions. And then subsequently we announced that they have begun offering the SmartBeam feature in North America also some of their vehicle models.
Brett Hoselton - KeyBanc Capital Markets: Excellent. Thank you very much.
Connie Hamblin - Vice President of Investor Relations and Corporate Communications: Thank you.
Steve Dykman - Vice President of Finance and Chief Financial Officer: Welcome.
Operator: Thank you. The next question is from Rich Kwas from Wachovia. Please go ahead.
Richard Kwas - Wachovia Capital Markets: On the North America production, Enoch you mentioned down RCD, [ph] plus 2% shipments, right, including strike impact?
Enoch Jen - Senior Vice President: Correct.
Richard Kwas - Wachovia Capital Markets: If you strip out the strike impact, was the shipment better than you would have expected?
Enoch Jen - Senior Vice President: I think that they would have been slightly worse than expected, excluding the shipments that were affected by the strike.
Richard Kwas - Wachovia Capital Markets: Thank you.
Enoch Jen - Senior Vice President: Welcome.
Operator: Thank you. There are no further questions registered at this time I'd like to turn the meeting back over to Ms. Hamblin.
Connie Hamblin - Vice President of Investor Relations and Corporate Communications: Okay, thank you everyone for participating in this conference call. If you have a follow up questions, we will all be here working and ready to answer your question. Thank you.
Enoch Jen - Senior Vice President: And one last comment it is Connie's birthday today. So we all want to wish her a happy birthday
Connie Hamblin - Vice President of Investor Relations and Corporate Communications: Thanks a lot, have a good day. Good bye.
Operator: Thank you. The conference has now ended please disconnect your lines at this time and thank you for you participation.